Operator: Ladies and Chairman, good morning and welcome to the Park, Hotels and Resorts Third Quarter 2024 Earnings Conference Call. At this time, all participants are in the listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ian Weissman, Senior VP, Corporate Strategy. Please go ahead, sir.
Ian Weissman: Thank you, operator, and welcome everyone to the Park, Hotels and Resorts third quarter 2024 earnings call. Before we begin, I would like to remind everyone that many of the comments made today are considered forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not able to publicly update or revise these forward-looking statements. Actual future performance outcomes and results may differ materially from those expressed in forward-looking statements. Please refer to the documents filed by Park with the SEC, specifically the most recent reports on Form 10-K and 10-Q, which identify important risk factors that could cause actual results to differ from those contained in the forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO and adjusted EBITDA. You can find this information together with reconciliations for the most directly comparable GAAP financial measure in yesterday's earnings release, as well as in our 8-K filed with the SEC and the supplemental financial information available on our website at pkhotelsandresorts.com. Additionally, unless otherwise stated, all operating results will be presented on a comparable basis. This morning, Tom Baltimore, our Chairman and Chief Executive Officer, will provide a review of Park's third quarter performance and strategic initiatives. Sean Dell’Orto, our Chief Financial Officer, will provide additional color on third quarter results and our fourth quarter dividend. Following our prepared remarks, we will open the call for questions. With that, I would like to turn the call over to Tom.
Tom Baltimore: Thank you, Ian, and welcome, everyone. I'm pleased to report another solid quarter and business fundamentals remain healthy. We delivered a 3.3% RevPAR growth third quarter despite transitory factors that disrupted demand in certain markets in August and September. Our portfolio's performance demonstrates strong capabilities of our team and those of our operators to execute our business priorities while also adapting and responding to various challenges that presented themselves during the quarter. And for that, I am very proud and grateful. We experienced healthy growth in group and business transient demand throughout the quarter, which helped to offset moderating leisure trends in some markets and highlighted the diversification and continued strength of our portfolio. Resorts were driven by strong convention calendars in several poor urban markets, including Chicago, New Orleans, and Boston, which contributed to a combined RevPAR increase of 14%. This was further complemented by solid leisure trends across several resort markets, including Orlando, Miami and San Diego, which collectively generated an 11% RevPAR growth during the quarter. We are particularly pleased with the results from our recent redevelopment projects in Orlando and Key West, both of which are well-positioned to benefit from healthy group and leisure trends and where our recently renovated Waldorf Astoria Orlando has been ranked ninth by Condé Nast Traveler in its prestigious 2024 Reader's Choice Awards for the best resorts in the world. These projects and accolades highlight parks best in class design and development expertise and our ability to unlock significant embedded value within our portfolio, which we anticipate will remain a strategic focus for Park over the next several years as we continue to reshape the portfolio and strive to generate strong returns. Looking ahead, we are actively exploring additional development opportunities in key markets such as Hawaii, Key West, Santa Barbara, and Miami, which have the potential to deliver attractive returns on invested capital similar to our recently completed projects. In Orlando, our Bonnet Creek Complex witnessed RevPAR growth of 22% during the quarter driven by solid group production as the larger meeting platform allowed the hotel to layer in several groups simultaneously, resulting in an incremental 12,000 group room nights over the prior period and representing the highest Q3 group rooms and banquet revenue in Park's history at the complex. We're passing the property's previous high water marks 2016 and 2015 respectively. In Key West, RevPAR growth was 130% for the quarter driven by our Casa Marina Resort Hotel lap renovation displacement prior year period. Looking ahead to Q4, both of our Key West hotels are expected to pace ahead of 2023. The Casa Marina continuing to see positive effects on the comprehensive renovation, while the Reach projected to achieve mid single digit revenue growth due to an anticipated increase in occupancy. In Miami, operating trends remain strong as we continue to witness healthy group and leisure demand trends with RevPAR growth up over 7%. We expect this momentum to continue into the fourth quarter with the hotel forecasted to post mid single digit RevPAR gains driven by a robust convention schedule in October and strong leisure transient demand during the holiday season. In New Orleans, market hosted eight citywide events during the quarter compared to none in the prior year, contributing to a nearly $5 million increase in group room revenues and $2 million of banquet and catering revenue at our Hilton Riverside Hotel during the quarter, driving an almost eight point increase in occupancy. In Chicago, a healthy convention calendar, including the Democratic National Convention held in August, led to performance exceeding expectations with the Hilton Chicago recording an impressive 20% increase in RevPAR for the quarter as a hotel capitalized on citywide and in-house events driving 36% surge in group room revenue. Finally in Boston, market benefited from five citywide events during the quarter, translating into 25 compression nights, which helped to drive 14% RevPAR growth at our higher Regency Boston Hotel. As a segment, group continue to strengthen this quarter, the revenue increasing nearly 13% year-over-year to approximately $110 million, coupled strong banquet and catering revenue improvement of 9%. 2024 group revenue pace is up over 9% for 2024 pickup in the year for the year, reaching nearly 100,000 room nights during the quarter, accounting for $10 million of incremental group revenue recognized in the third quarter and $13 million of incremental group revenue anticipated in the fourth quarter. Looking ahead to 2025, group revenue pace continues to be up in the mid to upper single digit range, led by double digit gains in Orlando, Denver, Key West and San Francisco, while pace at our Hilton Waikoloa Resort, up nearly 80% versus same time last year. We're also encouraged with the booking windows further extending into the future, 2026 pace currently up 10%. Turning to Hawaii, Q3 RevPAR decline by a combined 8% at our two Hawaii hotels, and results negatively impacted by several factors, including disruption from labor strikes at Hilton Hawaiian Village, tough year-over-year comparisons at Hilton Waikoloa, disruption from multi-phase room renovations at both hotels. In addition, inbound travel from Japan during the quarter was further hampered by three severe weather events in August, which led to widespread flight cancellations, travel disruptions across Japan, and a 17% decline of inbound travel from Japan during the month. Overall, we had been encouraged by the pace of improvement in Japanese travel prior to these storms averaging over 50% year-to-date through July. From a capital allocation perspective, we remain laser focused on our strategic priorities to dispose of non-core assets and recycle capital to unlock the significant embedded value in our core portfolio through our creative ROI investments, while also opportunistically buying back stock at historically deep discounts to net asset value. During the third quarter, closed of two non-core assets, the Hilton La Jolla Torrey Pines, the Hilton Oakland Airport, we continue to reshape the portfolio and enhance our long-term growth profile. Sale of Torrey Pines closed in July, generated our pro rata share of gross sale proceeds of over $40 million and represented a nearly 12 times gross multiple on 2023 EBITDA. Additionally, transaction helped to further improve our balance sheet with our unconsolidated debt balance reduced by approximately $17 million, while net proceeds were used to partially fund repurchase of 2.5 million shares of our common stock during the third quarter of $35 million. With respect to the Hilton Oakland Airport Hotel, in late August, we permanently closed the hotel, non-core asset with less than 10 years remaining on a ground lease. Oakland remains a very challenged market with the hotel recognizing $3 million loss over the trailing 12 months, a reporting RevPAR of just $68. Mergers [ph] expected to result in a positive $1 million impact to earnings during the fourth quarter, while adding approximately $2 to nominal RevPAR and 30 basis points to hotel adjusted EBITDA on an annualized basis. In addition, during the third quarter, we commenced over $200 million of comprehensive guest room renovations at the iconic Rainbow Tower at the Hilton Hawaiian Village, Palace Tower at Hilton Waikoloa, the main tower at the Hilton New Orleans Riverside. Phase one of two for both Hawaii renovations is expected to be completed by Q1 2025, while phase one of the room's renovation in New Orleans expected to be completed in Q4 of this year and ahead of the Super Bowl in February 2025. We are particularly excited about the potential impact reimagine rooms are expected to have on our results, especially in Hawaii. Our recent successful renovation of the thousand room Tapa Tower at Hilton Hawaiian Village delivered a significant ADR premium compared to other resort room types once it was back online. Turning to guidance, due to the uncertainties surrounding continuing negotiations between our operators and labor unions, the related impacts on operating results, which are not factored into our prior guidance, we are not in a position to update full year 2024 RevPAR and EBITDA guidance at this time. Our operators continue to work toward reasonable solutions that are in the best interest of all parties. Once the appropriate agreements have been ratified, we have a better understanding of the impacts, we will provide a financial update, including an update on earnings guidance. I want to emphasize that we continue to be confident the core strength of both business and leisure demand trends throughout the balance of the portfolio. With the year-to-date 2024 RevPAR up 4.3% fight some of the challenges we faced towards the end of the third quarter. As we look ahead to 2025, expect to continue aggressively pruning our non-core portfolio, proceeds expected to be used to buy back our common stock and fund our growing development and renovation pipeline. In closing, we believe there is simply no better use of our capital than reinvesting it back into our portfolio at returns that far exceed acquisition yields to create long-term value for shareholders. With that, we'll turn the call over to Sean.
Sean Dell’Orto: Thanks, Tom. Q3 RevPAR for the portfolio was approximately $190, representing year-over-year growth of 3.3%, with occupancy gaining 2.5 percentage points and rates flat year-over-year at $243. When adjusting for roughly 70 basis points of disruption from Hurricane Helene and Labor strike activity, RevPAR growth for the quarter would have been 4.0%. Similar activity has impacted October, with RevPAR growth disrupted by Hurricane Milton by roughly 80 basis points. Adjusting for this disruption, we anticipate RevPAR will be relatively flat for the month, despite additional headwinds stemming from the holiday calendar shift and ongoing strike activity at certain hotels for a majority of the month, which were offset by solid performance elsewhere in the resort and urban portfolios. Total RevPAR for the third quarter increased by 3.8%, driven mostly by a 4.4% increase in F&B revenue as group-driven banquet and catering revenue increased nearly 9%. Hotel revenue was $625 million during the quarter, and hotel adjusted EBITDA was $170 million, resulting in a nearly 27.2% hotel adjusted EBITDA margin. Note that the year-over-year margin comparison was negatively impacted by nearly $8 million of property tax benefits and relief grants received last year, in addition to nearly $4 million of Hurricane and Labor strike disruption in the third quarter of this year. Excluding these items, hotel adjusted EBITDA margin would have been comparable year-over-year. With respect to Hurricanes Helene and Milton, our hotels located in Key West, Miami, and Orlando remain fully operational while sustaining minimal damage and business interruption. Overall, we estimate the total impact from both hurricanes to account for roughly $2 to $3 million of hotel adjusted EBITDA disruption, with most of the impact occurring in Q4. With respect to our dividend, on October 15th, we paid our third quarter cash dividend of $0.25 per share and anticipate paying a fourth quarter dividend, which is subject to Board approval in accordance with our typical practice of targeting 65% to 70% of our full-year adjusted FFO per share, comprised of a $0.25 fixed quarterly component plus a to-be-determined annual top-off component to meet our target. This concludes our prepared remarks. We will now open the line for Q&A. To address each of your questions, we ask that you limit yourself to one question and one follow-up. Operator, may we have the first question, please?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-answer session. [Operator Instructions]. The first question comes from the line of Smedes Rose from Citibank. Please go ahead.
Smedes Rose: Hi, good morning. I wanted to ask just a little bit more, probably predictably, about Hawaii. You saw RevPAR down 8% across the two properties. I think on your second quarter call, you had talked about maybe more like 2% to 3% down in the second half. And you mentioned a few things that went on in the quarter. But could you just sort of maybe talk a little bit more about what you were seeing sort of on an underlying basis for leisure demand into Hawaii and how you're thinking about it kind of going forward over the next several quarters, putting aside the strike?
Tom Baltimore: I'd make a couple observations, Smedes. Obviously, we were lapping what happened in Maui. We certainly had gotten benefit there. We knew, as you think about Hilton Waikoloa, obviously that was going to be really a tough comp. And so we obviously expected that to be choppy. Obviously, given what happened with weather-related and Japanese travel, clearly did not expect that as we talked about it in the last call. We remain very bullish on Hawaii long term. I think if you look over the last 20 years, Oahu's RevPAR growth has sort of outpaced the U.S. by nearly 300 basis points, and I think while exceeding kind of other resort markets by about 150 bps. So I think the U.S. CAGR is about 2% and Oahu is north of 5%. So this is, in our view, temporary and transitory. We certainly don't see anything that alarms us in terms of the underlying fundamentals. Obviously, the other matter, obviously we've - I've addressed that in my prepared remarks.
Smedes Rose: Okay. So just to be clear, I mean, it sounds like, so the difference relative to prior expectations is really driven by weather events in Japan that impacted Japanese travel, but you're not seeing anything that would concern you around kind of the state of the U.S.-based kind of leisure demand relative to what your expectations were?
Tom Baltimore: We are not. We expected at the last call that visitation would be about 770,000, up from 600,000 last year in terms of overall Japanese visitation. I think now that's come down a little bit. I think largely given the weather related and the cancellations down to about 720,000. So that's still about 22% over last year. And it's still about 54% below 2019, Smedes. So, we expect to probably get back to pre-pandemic in 2026-2027 based on current forecast right now.
Sean Dell’Orto: And Smedes, I would add, we talked about Japan, but you also had Hurricane Hone that came through and I think more so impacted big islands and the hurricane activity that was more specific to Hawaii that was disruptive in August as well. So we looked at inbound flights that were tracking, at least in the Honolulu, on average about 10% each month, year-over-year, and ultimately dropped about 3% in August. So you can see some of that activity, some of that disruption from weather impacting the market.
Smedes Rose: Okay. Like whack-a-mole with these hurricanes, but thank you. Appreciate your comments.
Tom Baltimore: Thank you.
Operator: Thank you. The next question is from the line of Floris Van Dijkum from Compass Point. Please go ahead.
Floris Van Dijkum: Hey, guys. I'm going to ask a little bit about the elephant in the room. I know that you're limited to what you can talk about, but is the hotel taking bookings, Hawaii Village I'm talking about, and how quickly can it ramp up should negotiations get settled and how quickly before EBITDA starts to come online there in your best estimate?
Tom Baltimore: First of all, the hotel has never closed and it's continued to provide services to guests, and so that hasn't been an issue at all. I think, as I said in the prepared remarks, obviously due to the uncertainty surrounding the continuing negotiations between our operators and the labor unions, we're just not in a position to update guidance or provide any of those details at this time. As soon as the appropriate agreements have been negotiated and ratified, we'll have a better understanding of the impact and certainly provide an update at that time. But rest assured that the Hilton Hawaiian Village has remained open during the strike.
Floris Van Dijkum: And then I guess the follow-up question is, does this, how, you still have call it 14, based on our estimates, 14 non-core hotels, does this make you evaluate your or maybe accelerate some of your plans to dispose of those hotels, or is that dependent on the capital markets activity and the financing availability for potential buyers as you think about focusing more on your top 25 hotels?
Tom Baltimore: Yes, it's a great question, Floris. I mean, I think we've demonstrated. We are laser-focused on really continuing to reshape the portfolio. Just to remind listeners, obviously since the spin now, we have sold or disposed of 44 assets for nearly $3 billion, and it's obviously a much stronger portfolio, but we still have another 14 assets, plus or minus, that are non-core, and we will continue to work aggressively to really recycle that capital. And as I said in the prepared remarks, in our view, there's nothing that can create more value than really investing back into our portfolio. And as you think about kind of the Casa Marina as an example and the extraordinary work done there, we're expecting EBITDA this year at about $30 million, plus or minus, and that's about 35% over the pre-pandemic high-water mark. And this is in the first year. Obviously, Bonnet Creek is just given the award we've gotten regarding the Waldorf, just given the growth potential there. We remain very bullish on our core portfolio, and we remain bullish on Hawaii and certainly adding another tower at Hilton Hawaiian Village. We look forward to adding another 200 keys, plus or minus, at Hilton Waikoloa, which we're already entitled to and coupled with adding additional supply and product at the Hilton Santa Barbara, and then really a complete transformation of the Royal Palm in Miami. So we just think that there's tremendous upside for shareholders in value to be created and is all embedded within this core portfolio.
Floris Van Dijkum: Thanks, Tom.
Tom Baltimore: Thank you.
Operator: The next question is from the line of Duane Pfennigwerth from Evercore ISI. Please go ahead.
Duane Pfennigwerth: Hey, thank you. Just on group pace for next year, I wonder if you could go into more detail on key markets you think would outperform key markets that you think would lag in any sense for the composition of the types of groups that are driving the improvement?
Tom Baltimore: As you know, we had a really strong group performance this year, up about 9%. Obviously, Waikoloa and Bonnet Creek obviously have been strong. Clearly, what we've seen obviously in Chicago and New Orleans obviously also have been very strong as well. And as we sort of look out next year, as we said in prepared remarks, sort of that mid to high single digits, I'd say we're probably 5% to 7% right now. There are a number of tentatives, so we think that's certainly going to improve. As we think about those markets, obviously Hilton Hawaiian Village, Hilton Waikoloa, excuse me, which was down 44%, I believe, this year, we're looking at group pace being up almost 77% next year, which is going to be very, very encouraging for us as we look out. Denver looks strong. Bonnet Creek continues to be strong. Probably Waikoloa, I think, was in the mid-40s. I think overall we're looking at probably mid to high teens in terms of growth pace there, mid-single digits for New York Midtown. Even San Francisco, as we think about the Union Square property there, looks to be in the 25% to 30% increase, so still very, very encouraged by that. And as you also think about 2026, we're already looking at a group pace that's up about 10% there, so very encouraged when you think about our portfolio and I think a real strength of our portfolio, Duane.
Duane Pfennigwerth: Thanks, Tom. And maybe just to come back to Orlando, can you help frame the performance that you're seeing versus maybe a pre-renovation baseline? I don't know if you have it handy and I don't want to put you on the spot, but like a RevPAR index improvement that you may be realizing relative to, you know, pre-reno or maybe 2019? And thanks for taking the questions.
Tom Baltimore: Yes, I'll take a stab and let me just talk about kind of Orlando overall and then regarding the RevPAR index. I don't have that, perhaps Sean has that. But when you think about Orlando, I mean, you've got I think last year about 74 million visitors. If you think about Vegas is probably in the mid-40 range. And you think about Epic Universal and their own record, I think of about a $5 billion investment plus or minus that's opening in the spring of next year. Obviously, Disney's talked about spending another $60 billion over the next 10 years plus or minus. So we are very, very bullish on Orlando long term. If you think about citywides, this year there were about 98 citywides for about 1.1 million room nights. I think next year, while fewer events, an increase of about 8% in room nights to about almost 1.2 million plus or minus, so very, very bullish and we think obviously, as we saw in third quarter, given the size and adding another 100,000 square feet of meeting space and multi-function space, it allows us to simultaneously layer in multiple groups coupled with a world-class golf course and all of the other resort amenities and proximate to both Disney and Universal. We are very, very bullish on Orlando, both in the near term and in the long term.
Duane Pfennigwerth: Thank you.
Operator: Thank you. The next question comes from the line of Dany Asad from Bank of America. Please go ahead.
Dany Asad: Hi. Good morning, everybody. Tom or Sean, when we look at 2025, can you share any insight with us on how your large corporate accounts are shaping up? We've heard from airlines calling out stronger large corporates heading into next year, so just curious to see what you guys are hearing?
Sean Dell’Orto: Yes, I mean, it's always a little tricky. We're kind of thinking that season right now, Dany, and I also say a lot of the contracts over time have gone from just doing your typical, your historical fixed, hey, let's increase it 4% or 5% to more dynamic pricing such that it's more just a percentage of bar driving it. And so as you think about where we think rates could go next year, and obviously we're still in the throes and the beginnings of budget discussions, kind of hard to say exactly and pinpoint a kind of range percent. I certainly know it's up. And also, I think when you look at the behavior of the corporate negotiated subsegment, it's been an outperformer this year versus expectations. And so we think we've seen about 6% or so plus or minus up this year throughout the year. So I think that kind of I think bodes well and I think plays into what you maybe hear from other industries about likely strong performance for that group remaining continuing 2025.
Dany Asad: Understood. Thank you, Sean. And for my follow up, we've heard from other owners and some of the brands, including Hilton, that November demand is, you know, just, yes, it could be softer around the edges, especially when we're talking about like the elections and kind of right that period of November specifically, curious to see what you guys are thinking and more importantly, how that feels relative to your expectations from maybe 30 or 60 days ago?
Sean Dell’Orto: Yes, I think, it is having an impact. I would say in general pace is down that week around 13%. I would even say the week after that down about 11%. So I think, not surprisingly, I think people are not looking to travel, make any plans that that's only that the week of. I would say think pick the week after is picking up positively. So that could be something to watch depending on what happens post election. You're definitely seeing that. And then as you get beyond election timeframe, you start getting into holiday shifts, which I'm sure you guys will pick up as we get through it. But, Thanksgiving is on a different week, later week this year, the next year. So you're going to have some flip flops of different weeks as you kind of really dig into it. But all in the whole, I would say, December is a little bit beneficiary of some of the shifts versus November. November is definitely a weaker month of the quarter. Put it all together, though, combine November, December. I think you're kind of looking at similar growth on average between the two, if you were just to actually combine them relative to kind of comparable to October. But it's definitely a weak November offset by a stronger December.
Tom Baltimore: Dany, if you think about the last election, I think similar sort of framework occurred as well back to 2020 and I think even in 2016. So we're not we're not overly alarmed by it.
Dany Asad: Got it. Thank you, Tom.
Tom Baltimore: Thank you.
Operator: Thank you. The next question comes from the line of Ari Klein from BMO Capital Markets. Please go ahead.
Ari Klein: Thanks. Maybe just following up on the last question, I think previously you were expecting maybe one, 1%, 2% RevPAR growth in the fourth quarter based on the prior guide. Setting aside the strike impact, is that still a fear expectation or kind of how should we think about the performance this quarter?
Tom Baltimore: Yes, it's hard to decouple, obviously, given what's happening with the other activities. And obviously, you've also had the weather related activity. So I'd rather wait and provide that information when we provide the update once our operators and the unions have finalized any outstanding agreements and we can provide a clear update. No doubt, as Sean said, as you think about November, certainly the week of the election and probably a little after that. I think just given the uncertainty, given how divided things are, you're probably going to see less travel during that period of time. And I don't think that's a real surprise. And as I said at the end of the conversation that Dany asked, if you look back to 2020 and 2016, I really think that was what we experienced as well.
Ari Klein: Understood. And then maybe as we think about 2025, when we're looking at expenses, what is 4% to 5% kind of a reasonable expectation for next year? And if that is the case, what type of RevPAR growth do you think you would need to grow EBITDA?
Tom Baltimore: Yes, we're just beginning the budgetary process.. So we know it's another -- we will provide guidance as we've done historically. And I mean, obviously, we're all concerned about what's going to happen with the top line as we look forward as well as the corresponding expenses. But we'll have more information on that at a later date. We still feel very good about our portfolio. This obviously is a solid third quarter, probably going to be among sector leading as you think about the top line. And obviously, if you take out both the strike activity and obviously some of the weather related, it's probably close to a 4% print. So we feel very good about our portfolio. And we're going to continue to focus on selling non-core, reinvesting back in the portfolio, reducing leverage and then returning capital to shareholders. We've returned north of 630 million, I think, last year. And we're probably going to be somewhere in the 300 million, 350 million this year. And that includes buying back 19 million, 19.5 million shares over the last 18, 20 months. So I feel very good about our performance and really our capital allocation decisions.
Ari Klein: Thank you.
Operator: Thank you. The next question comes from the line of David Katz from Jefferies. Please go ahead.
David Katz: Hi, everyone. Good morning.
Tom Baltimore: Hey David.
David Katz: Hey, thanks for all the information so far. I wanted to ask kind of a bigger, broader question about the subject of weather and how you think about that in your underwriting, whether that's for capital spending in certain markets that are exposed more so than others or any potential sort of acquisitions down the road. I think Smedes may have used the term whack-a-mole earlier on. And I think it may be apropos, right, where it's a recurring, non-recurring event and the degree to which we sort of contemplate that in underwriting and whether we should keep looking through it or we should be thinking about it, too?
Tom Baltimore: Yes, Dave, it's a great it's a great question. And I would say if you think back over the last few years, obviously, at Park, we've been fortunate and that we haven't had any direct hit. But obviously, we've been certainly impacted by it. And it's an area that we really separate ourselves. A huge credit to Carl Mayfield, who heads our design and construction team. We, as you think about any of the storms, Helene and Milton is an example. We had first responders on site within 72 hours of the event. We've set up tiger dams. We've looked at the resiliency of our buildings as part of the complete transformation of the Casa Marina, taking all the building systems that were in the catacombs and below grade and removing those. And we've also looked at sand nourishment and what things we can do to be incredibly proactive. And you see that really reflected in our insurance cost. Sean and Carl have done an extraordinary job. And as a result, our insurance costs were down. I doubt very many of our peers could say that. And I think it's these proactive measures that we have in place. We take it seriously. And you can also see the tie into our corporate social responsibility report as well. Emily Smith and the other team members that work on that. And so it is very important, particularly given our portfolio and really where the demand generators are. And so it's something that we've got to continue to monitor and be proactive. We do factor it into our underwriting. We think about what that risk may be is part of that that investment and that assessment of that opportunity. So it is something where Park has really distinguished themselves vis-a-vis our peers.
David Katz: Appreciate it. Thanks very much.
Tom Baltimore: Thank you.
Operator: Thank you. The next question comes from the line of Patrick Scholes from Truist Securities. Please go ahead.
Tom Baltimore: Hey, Patrick.
Patrick Scholes: Good morning. Thank you. My first question. Can you give us a little bit about thoughts about your expectations for the inbound Japanese traveler to Hawaii for 4Q and what potentially next year might look like for that? Thank you.
Tom Baltimore: Yes. I think if you if you look historically, Patrick, Japanese travel and this is sort of pre-pandemic was about 1.5 million. That was about 17% of demand. Obviously, in 2023, it was about 600,000. So it's about 60% below pandemic. And 2024, as I think I said earlier, we were expecting it to be probably in the beginning of the year, probably about 850,000 to 880,000. That's been revised downward. Part of that's because of the weather related issues that occurred both in Japan as well as the three storms. And so now we're looking at about 720,000 on an annualized basis. And that's about 22% above last year. And it's still about 50% to 54% below 2019 levels. We think we get back to pre-pandemic probably in that 2026 to 2027 timeframe. Where we are in terms of the fourth quarter? I don't have the fourth quarter data. I don't know whether -- but we'll follow up with you and make sure you have that. We've got it more on the annualized and not the individual quarter.
Patrick Scholes: Okay. Thank you. My second question, now that the strikes seem to be dragging on, especially in Hawaii. At this point, is Hilton notifying transient and group deaths [ph] pre arrival about the strikes? Thank you.
Tom Baltimore: Yes. The answer is, I mean, obviously -- look, I think they've been publicly disclosed. And so I'm sure through their channels, they're making sure that people are aware. I do think it's important to note, obviously, as it relates to Hawaii, I'm not going to comment on the specifics. Obviously, our operator and the unions are on ongoing discussions. And when that agreement is reached and when it's ultimately ratified, we'll all get back to normal. We do believe that this is a transitory matter. And we remain, as I've said throughout the call, we remain very bullish on Hawaii on the intermediate and long term. I'd also like to point out, as it relates to other markets in Boston, for example, we understand that our operator reached agreement with the union in Boston last evening and that a vote is scheduled for later this week. And then also our operator has reached agreement in San Jose. And that agreement has also been ratified. So, the process will last as long as the process last. And obviously, when our operator and the unions have reached agreement and it's been ratified, obviously, it will move forward.
Patrick Scholes: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Chris Woronka from Deutsche Bank. Please go ahead.
Tom Baltimore: Hey, Chris.
Chris Woronka: Good morning, guys. Hey, Tom. Good morning. So, Tom, I think it's kind of, I guess, implied in your earlier comments. But as you think about all your ROI CapEx projects moving forward, and then I look back to that list you guys provided in May, you know, all but maybe two of those are kind of in union markets. So these things are going to get settled like you said, can we just assume from your comments that whatever may happen, whatever the outcome is financially, it's not going to deter you at all from these projects. And does it cause you to shift any prioritization in terms of a market that gets CapEx dollars before another?
Tom Baltimore: Yes, Chris, it's a great question. And as I said earlier, as you think about Hawaii as an example, if you look over the last 20 years, I mean, Oahu's RevPAR growth rate, it's outpaced the U.S. by nearly 300 basis points. And given obviously the difficulty of adding new supply and given those barriers to entry, we remain bullish on Hawaii. And we're confident that our operator and the union will get this resolved and things will move forward. But we remain bullish. And those priorities that we've outlined is we've already started the renovation at the Rainbow Tower at Hilton Wine Village. We've started the renovation of the Palace Tower at Hilton Waikoloa. And this is just bullseye real estate that has performed well. And we expect it over the intermediate and long term to continue to perform well. We are more successful today at Hilton Waikoloa as a 600 room hotel than we were as a 1200 room hotel, which I think you've heard me say many times. As we look at Miami and Royal Palm and, you know, just bullseye real estate there on the beach as well. There's a great opportunity to really transform that property, not dissimilar to what we did in the Casa Marina, which and the Reach, both of which have had huge success. So it's really part of our strategy to continue to invest in high quality real estate that can generate outsized returns for investors.
Chris Woronka: Okay. Yes, I appreciate that the thoughts, Tom. The follow up question is, I guess maybe this is where we are at the time of year. I know you're going through the early stages of budgeting and won't be giving any '25 guidance till early in next year, but maybe you can give us a refresher tutorial on kind of how your approach to guidance when you give it, because this year I think we saw the brand companies, their revPAR guidance evolve a little bit. There were obviously some weather impacts and then there were some things, the calendars that maybe shouldn't have been a surprise. But maybe you can just give us a quick refresher on tutorial on how you guys take budgets and formulate them into annual guidance? Thanks.
Tom Baltimore: Well, obviously, Chris, we've been -- I've been around a long time. So I've been through the cycles and obviously you had calendar shifts this year. You had weather. It's a very detailed process. It's thoughtful between obviously the owners and operators. And you put in a lot of work and you try to have the appropriate spread between those quarters. And sometimes as an industry, we're more right than others. So I think this year you had the calendar shifts, but you also had dramatic swings in weather that certainly impacted. So that certainly played a role. I think overall for the Park portfolio, it is holding up very well and performing well. And I think we said earlier in the year, we expected that we would be a 100, probably net of renovation disruption premium to our peers. And I think that's probably holding true. And so we feel very good about our performance and where we are. And obviously the other matters will get themselves resolved when they're resolved.
Chris Woronka: Okay. Understood. Thanks, Tom. Appreciate the time.
Tom Baltimore: Thank you.
Operator: Thank you. The next question comes from the line of Jay Kornreich from Wedbush Securities. Please go ahead.
Jay Kornreich: Hi. Thank you. Good morning.
Tom Baltimore: Good morning.
Jay Kornreich: You mentioned being remaining bullish long-term on Hawaii, which has been a great market. And I'm curious just how you think about how that market can perform in the first three quarters of 2025. We had some tough comps. I guess it'll have a tough comp from 1Q '24 this year. And is there an opportunity for further revPAR upside next year? Or should we kind of think about that market in the first three quarters being somewhat down before lapping an easier fourth quarter comp with hopefully the union issue being resolved?
Tom Baltimore: Again, I go back to my earlier statement. If you look over the last 20 years, I think it's either been first or second strongest market over that period of time. I think about the barriers to entry. I think about the improved airlift. I think about just the extraordinary beauty. You think about the international visitation. The Japanese traveler will return. And historically, we were doing about 150 weddings a year at Hilton Hawaiian Village, as one example. We're doing a small fraction of that today. So we really haven't gotten back to pre-pandemic when you think about the international piece. And there are growing segments there, coupled with the fact that the additional airlift. So I would still, as we think about markets that are a high priority in terms of future investment, Hawaii remains a top market for us.
Jay Kornreich: Okay. And then as a follow-up, you may have mentioned at the end of your prepared remarks, I just want to make sure, just as October is coming to a close, are you able to kind of give a range as to why October revPAR growth within the portfolio is?
Tom Baltimore: Yes. Sean provided that in prepared remarks. We were trending flat to down 1%. And that's if you were...
Sean Dell’Orto: Yes. I mean, ultimately, yes. I mean, that's the case. And if you clearly had Milton in October, so if you adjust for that hurricane disruption, you're probably kind of in the zone of being flat. So again, we've set some outperformance in other parts of the portfolio. Clearly, we have other disruption elsewhere with union activity and strikes. But ultimately, we're kind of looking at that general range. Clearly, we've got a few days left in the month. And as Tom noted, when we kind of look to give people a readout, once things are resolved, we'll certainly give people a sense of how October ended.
Jay Kornreich: Okay. Great. Thanks very much for the clarification. That's it.
Operator: Thank you. The next question comes from the line of Robin Farley from UBS. Please go ahead.
Robin Farley: Great. Thanks. I wonder if you could just help us quantify. When we think about the properties where there's disruption from labor negotiations, what do they represent typically as a percent of your total EBITDA? And then maybe we can take Boston and San Jose out of that thinking about here forward in terms of kind of what percent of your EBITDA is being disrupted?
Tom Baltimore: Yes. We'll stay, Robin, away from the EBITDA portion of it. But if you were to take just Hilton Hawaiian Village and Boston Logan out of Q3, it was about 240 basis point drag on RevPAR. And so obviously, instead of that 3.3, probably closer to 5.7, I think plus or minus. And as we think about sort of October, as Sean said, you've got really about 80 basis points of weather-related. So you're essentially flat there. If you were to also take out sort of Boston Hilton Hawaiian Village, I mean, you probably would have been in over 4% in RevPAR plus or minus. Again, the month hasn't closed out, but probably somewhere in that range.
Robin Farley: Okay. Thanks. And then just looking at your group pace for 2025, it looked like maybe it ticked down a little bit compared to where group pace was at the end of Q2. And is that just something that we should think about a seasonal? Or do you think that's the labor disruption impacting that? Or is it just tougher comps with groups for next year? Thanks.
Tom Baltimore: Yes, I think you got two things. You got the tougher comps. Obviously, Chicago and New Orleans are having really strong years. New Orleans, we expect that to continue into 2025. Chicago will drop down. We're bullish. Hilton Waikoloa obviously is having a soft year down about 44%. We think that's going to increase up to about 77% as group pace as we look in 2025. You've got tentatives. It's a fluid situation, but we are very, very bullish as we look out at Bonnet Creek, which is obviously having a very strong year this year. We expect that's going to continue next year in the out years. So as we said, we expect that we'll finish, we'll end up, sort of begin the year in 2025 at mid to high single digits. And we're already at up 10% as we look out to 2026. So we see that again as a really strong growth segment for us, Robin, as we move forward.
Robin Farley: Great. Thanks. Maybe if I could just squeeze one final thing in on your asset sale plans. Just if you could describe a little bit, I don't know if sort of I would assume there's maybe heading into the election that things were a little slower in terms of that. Do you think the timing, is it waiting for other rate cuts? I mean, when you think about potential buyers, is it waiting for additional rate cuts? Is it waiting to see how the labor negotiations conclude both this year and then maybe some to come next year? I guess how would we think about your expectation for timing of their asset sales? Thanks.
Tom Baltimore: Yes, I think a lot of that has to do with just buyer and sellers and closing the gap, obviously with lower rates. That really will be a positive catalyst. And certainly the debt markets are open. But I think as both sides get into 2025, I think you can expect the transaction market to accelerate. And again, we've had no trouble as you think through. And as I said earlier, I mean, we've sold or disposed of now since the spin about 44 assets, nearly 3 billion, including 14 international, many of those complicated with legal tax, joint ventures. We've seen it all. And we've got a very talented team who are working aggressively. And we're not a distressed seller. So we're looking for a fair price. We're going to be thoughtful about it. But clearly it is a strong priority for us to continue to recycle that capital and invest it back into our core markets. Our top 25 assets really account for about 90% of the value of the company. And that's where we want to be growing in the future.
Robin Farley: Great. Thank you.
Operator: Thank you. The next question comes from the line of Chris Darling from Green Street. Please go ahead.
Chris Darling: Thanks. Good morning.
Tom Baltimore: Good morning.
Chris Darling: Good morning. Going back to some of the comments around group pace in '25, how much of total anticipated group revenue for the next year would typically be on the books at this point in time, just trying to get a better sense of what's kind of baked in for next year?
Sean Dell’Orto: Yes, Chris, I would say we're probably looking at -- I'd put it in relation to kind of our current forecast for this year's group. We're probably about tracking about 70% or so at this point in time. So certainly we look to improve that as we get closer to the end of the year. That's about where we are, a proxy for where we are right now.
Chris Darling: Okay. That's helpful.
Tom Baltimore: That would be consistent with prior years, as Sean is pointing out, Chris. So that's not unusual.
Chris Darling: Makes sense. Helpful comments then. And then a second question for you. Just as you have assets still in the market, as you mentioned, I'm sure you're still underwriting assets that are coming to market. Any changes you've observed in pricing or maybe another way to frame it and any changes you've observed in sort of the bid-ask spread out in the market these days relative to maybe three, six months ago?
Tom Baltimore: Yes, it's narrowing. But I think that's going to accelerate. I think obviously we were all expecting some looking at three, four or five rate cuts. I think now it's obviously the 50 basis points that we've -- that are in the books and probably another one or two are sort of expected. As the cost of debt comes down, that clearly is going to help bridge that gap, but there's no shortage of private capital out there. You've got probably 400 billion just on the private equity, real estate funds, you've got family offices, you've got owner operators. So as you know, we've always had a very active trading market and secondary market and lodging. So we fully expect that's only going to accelerate. And many of those funds, the clock is ticking for them. So they've got to start to put that capital to work. So we expect the '25, particularly as rates begin to normalize, we expect the transaction market will continue to improve.
Chris Darling: I appreciate the time. That's all for me.
Tom Baltimore: Thanks, Chris.
Operator: Thank you. The next question comes from the line of Dori Kesten from Wells Fargo. Please go ahead.
Tom Baltimore: Hey, Dori.
Dori Kesten: Hey, good afternoon now. The Royal Palm isn't currently on your renovation table. What's the likelihood that the project is undertaken in 2025?
Tom Baltimore: There is a, I'd say greater than a high probability that we move forward. We are working through design. We're working through a model room. Obviously there's a permitting process. We're also trying to find the right window. But this is an opportunity that we're very bullish on, Dori. It's bullseye real estate, 393 keys plus or minus, and really given the high property assets that are being developed or whether it's the Alvarez and Amman and others, we think there's a great opportunity to sort of tuck underneath, not at that level, but certainly raise RevPAR and really the overall performance of the property. So we're pretty excited about it. And again, not dissimilar to the success that we've demonstrated both in Casa, both at Bonnet, what we're doing in Hawaii. So we're pretty excited about it as we move forward. But we'll find the right window. We're very sensitive to minimizing disruption. And again, I think it's an area where our team has really sort of distinguished themselves.
Dori Kesten: Okay. And then just one more on Hawaiian Village. I think that property is about 85% transient, 15% group. Are cancellation policies held or are they put on hold for transient guests when a strike's ongoing?
Tom Baltimore: Yes. Many times we leave that up to the on-site leadership team. We've got a very talented team there. It can be a judgment call. It can be whether there's a discount, whether there's a rescheduling, you know, all of those items obviously would be on the table. But Hilton Hawaiian Village, despite this matter, has remained open every day and continues to take guests.
Dori Kesten: Okay. Thank you.
Tom Baltimore: Thank you.
Operator: Thank you. We have a follow-up question from Floris Van Dijkum from Compass Point. Please go ahead.
Floris Van Dijkum: Hey, thanks guys for taking my follow-up as well. Hey, Tom. I don't know whether you have the answer handy or not, but you mentioned something about Oahu outpacing, the U.S. hotel market by 500 basis points. I think it was a lot decade, I believe, is what you said in terms of RevPAR. But...
Tom Baltimore: Yes, I think 200 [ph] over the last 20 years is what I said, Floris. And I'm going from memory, but I think that's a fair. Sean and Ian can fact check me and follow up with you, but I'm pretty good with the numbers, as you know. But I think it's 300 basis points over the last 20 years.
Floris Van Dijkum: Yes. Yes. So I misspoke, but I was curious as to how Hawaii Village did relative over that period. And then also, I'm probably most interested in seeing, because again, I think, and this is something you've been espousing for, as long as I've known you, is your larger assets grow at higher rates than the overall market. And I'd be curious to see where you have it available, what the EBITDA CAGR has been for Hawaii during that your Hawaii assets over the last 20 years, and also maybe your top 25 assets relative to the overall market or relative to the rest of your portfolio?
Tom Baltimore: Yes, it's -- and we're going back to the envelope here. Memory, we think around 4.5% plus or minus, but we'll confirm that, Floris and get back to you. But there's no doubt that when you think about Hilton Hawaiian Village, you think about Waikoloa, just the quality of that real estate, it's fee simple. They've been strong performers really for generations, and you can't replicate what we have in both situations.
Floris Van Dijkum: Okay. Thanks, Tom.
Tom Baltimore: Okay. Thank you.
Operator: Thank you. As there are no further questions, I would now hand the conference over to Tom Baltimore, Chairman and Chief Executive Officer for his closing comments.
Tom Baltimore: We really appreciate everyone taking time today, and we look forward to seeing many of you in the coming weeks and certainly out at [indiscernible] in Las Vegas. So safe travels and be well.
Operator: Thank you. The conference of Park Hotels and Resorts has now concluded. Thank you for your participation. You may now disconnect your lines.